Operator: Good day, and welcome to the OFS Capital Corporation First Quarter 2019 Earnings Conference Call and Webcast. All participants will be in listen-only mode [Operator Instructions]. Please note that this event is being recorded. I would now like to turn the conference over to Mr. Steve Altebrando, Vice President of Equity Capital Markets. Please go ahead.
Steve Altebrando: Good morning, everyone, and thank you for joining us. With me today is Bilal Rashid, Chairman and Chief Executive Officer of OFS Capital and Jeff Cerny, the company's Chief Financial Officer and Treasurer. Please note that we issued a press release this morning announcing our first quarter results. This press release was subsequently filed on Form 8-K with the SEC. Both documents can be obtained under the Investor Relations section of our website at www.ofscapital.com. Before we begin, please note that the statements made on this call and webcast may constitute forward-looking statements as defined under applicable securities laws. Such statements reflect various assumptions, expectations and opinions by OFS Capital's management concerning anticipated results, are not guarantees of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some way beyond management's control, including the risk factors described from time-to-time in our filings with the SEC. Although, we believe these assumptions are reasonable, any of those assumptions could prove inaccurate and, as a result, the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on these forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein. All forward-looking statements speak only as of the date of this call. With that, I'll turn the call over to Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you, Steve. Good morning and welcome. We reported today that our net investment income per share was $0.36 for the first quarter. This was a more than 24% increase from last year and again above our $0.34 quarterly distribution. These continued strong results were driven by a disciplined deployment of capital, largely financed with fixed rate long-term unsecured debt we raised in 2018. We have now declared 26 straight quarterly distributions of $0.34 per share since our IPO in late 2012. In total, we have declared over $9 per share in distributions over this time, including special distributions. Additionally, our net investment income has exceeded our regular distribution in each of the last four quarters. And over the last four plus years, our total net investment income has exceeded our total regular distribution. We believe that maintaining our distribution and out earning it over this period of time, puts us in select company within the BDC sector. Our net asset values per share at the end of the quarter were $13.04 compared to $13.10 in the prior quarter. The benefit of narrower credit spreads was offset by unrealized depreciation in a small number of debt and equity positions. We had no new non-accruals in the quarter. In terms of originations, we deployed approximately $63.6 million in the quarter. As discussed on prior calls, we remain committed to being highly selective even with a relatively healthy pace of deployment. We continue to concentrate on industries and management teams that we believe are well positioned to navigate the next downturn. As always, we remain focused on capital preservation. With that high-level recap of the quarter I wanted to provide an update on our business plan now that we are permitted to increase our leverage. As you know, our board approved a reduction in our asset coverage ratio last May. As of today, our BDC is allowed to operate at higher regulatory leverage. As we have mentioned in the past, we intend to use this additional leverage to invest in lower yielding senior secure debt of larger companies. We believe that this will improve the risk profile of our portfolio, while improving our earnings. We anticipate establishing a senior secured credit facility and will make an announcement when an agreement is executed. We have been gravitating towards more senior loans and we expect that this facility will accelerate that trend. We believe that we are well-positioned to benefit from this opportunity given the breath and skill set of our advisors' $2.3 billion platform, which invest across the corporate loan market. The goal of the facility would be to improve upon our historical ROE, which over the last five years has been approximately 8%. Turning to the current lending environment. We are continuing to be vigilant and cautious about our portfolio construction. As you know, 88% of our loan portfolio in senior secured has a percentage of fair value. This compares to 67% two years ago. We expect to continue to concentrate on senior secured loans and avoid highly cyclical industries. While we still believe that we are in the late stages of the current credit cycle, the U.S. economy remains in good shape with solid GDP growth. In terms of the deal flow, we continue to see attractive opportunities across the middle market. At this point, I'll turn the call over to Jeff Cerny, our Chief Financial Officer, to give you more color and details for the quarter.
Jeff Cerny: Thanks, and good morning everyone. As Bilal mention, this was a strong quarter from a net investment income perspective and our NAV was stable. We continue to see the benefits of our increased scale and asset-based. Starting with the income statement, we derived approximately $12.3 million in total investment income in the quarter, a $300,000 decrease over the fourth quarter. Total expenses of $7.5 million increased $200,000 compared to the prior quarter. This increase was driven by higher interest expense due to a full quarter related to our October 2018 bond offering and higher outstanding line of credit balances used to fund additional investment activity, resulting net investment income per share of $0.36 compared to $0.40 in the prior quarter. The decrease was driven by lower fee income and fewer accelerations of original issuance discount quarter, partly offset by a full quarter of income related to the deployment of last October's bond proceeds. It is worth noting that recurring earnings, earnings excluding fee income and original issue discount accelerations are up. Turning to the balance sheet. We had approximately $15 million of un-invested cash at the end of the quarter. $13 million of that cash was in our SBIC. We had considerable deployment of cash during the quarter at the SBIC. To allow for continued growth and improved earnings, we recently renegotiated our $50 million Pacwest line of credit and were successful at upsizing the facility to $100 million. We also achieved more favorable pricing, which decreased by 50 basis points. In addition, we were able to negotiate more flexible leverage covenants to align the financing with the change to 150% statutory asset coverage. As a result of this facility upsize, we currently have approximately $61.5 million in undrawn availability on our line of credit. Our debt to equity ratio at the end of the quarter was about 1.64 times, including our SBIC debt. As you know, this is well below our regulatory leverage requirements as the SBIC debt does not count towards the leverage test. We would be comfortable increasing our leverage further in order to invest in senior secured loans of larger companies. Our net asset value is pretty stable at the end of the quarter at $13.04 per share compared to $13.10 in the prior quarter. As far as our investments, at the end of the quarter, we had investments in 51 companies totaling $438 million on a fair value basis. As a percentage of costs, our investments were approximately 77% senior secured loans, 12% subordinated debt, 3% structured finance notes and 8% equity, approximately two thirds of which is in preferred equity securities. Our portfolio remains diversified with an average investment in this portfolio company of $8.6 million or 2% of the portfolio's total fair value. At fair value, we currently have 0.2% of the portfolio on non-accrual the same as last quarter. Overall, weighted average yield to costs on our performing debt investments was 11.8% at March 31st. This compares to our weighted average cost on our borrowings of just under 5% at quarter's end. We deployed approximately $63.6 million in the first quarter across nine investments. This consisted of $12.7 million to several existing portfolio companies, and we also invested $50.9 million in five new companies. The new names consisted mostly of floating rate and senior secured loans along with some structured finance notes. The weighted average yield to cost of the new investments during the quarter was 13.4%. One of the new investments I would like to highlight is our investment in Chemres, which we closed during the first quarter. We made $15 million investment in a floating rate senior secured loan facility and $2 million common equity investment to help finance the acquisition of the company. Chemres has been in business for nearly 25 years, and is a formulator and manufacture and supply chain manager of high performance polymers and plastics. The OFS team directly sourced and underwrote the deal. The five year facility has a full covenant package and we secured board observation rights. The last dollar of debt leverage at closing was just under 4 times and the pricing stands today at about 11%. We believe this is a strong investment process. Chemres count several fortune 500 companies as its customers and the majority of its top customers have been customers for more than 10 years. The company serves several end markets, including medical, wire installation, chemicals and consumer packaging, among others. Chemres has economically resilient characteristics and saw just a minimal decline in gross profit during the last downturn. The management team has been together for eight years and we will continue to have significant ownership in the company. As such, we are happy to have Chemres among a group of portfolio investments. With that, I will turn the call back over to Bilal.
Bilal Rashid: Thank you, Jeff. In closing, we are pleased with our net investment income this quarter. We believe that our strong performance is driven by the strength of our origination platform, as well as our underwriting and portfolio management process. We are proud that since the beginning of 2011, OFS has invested approximately $1.2 billion with a cumulative net realized loss of principal of only 0.05%, while generating attractive yields on our portfolio. Looking ahead, we remain confident in our earnings power. We have a senior secured floating rate focused portfolio, and have locked in attractive fixed rate long-term financing. By taking advantage of our higher leverage allowance, we believe that we can increase the ROE of the BDC, while investing in senior secured loan of larger companies. We continue to benefit from our adviser $2.3 billion platform, and its broad capabilities within the corporate credit sector. Its longstanding investment platform has been in existence since 1994 and has gone through multiple credit cycles. We believe that this experience will help us navigate changing market conditions considering where we are in the current credit cycle. Our focus remains on capital preservation as highlighted by our low loss experience. In addition, we believe that our performance is further aided by the advisor having considerable skill in the game since it is the largest shareholder in the BDC. With that, operator, please open up the call for questions.
Operator:
Bilal Rashid: Thank you all for joining our call today. And we look forward to speaking with everyone again next quarter. Operator, you may now end the call. Thank you.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.